Operator: Good morning, and welcome to the Campbell Soup Company Third Quarter Fiscal 2025 Earnings Conference Call. Today's conference is being recorded. All lines will be muted during the presentation portion of the call, with an opportunity for questions and answers at the end. I would now like to turn the call over to Rebecca Gardy, Chief Investor Relations Officer at Campbell Soup Company. Please go ahead.
Rebecca Gardy: Good morning, and welcome to Campbell Soup Company's third quarter fiscal 2025 earnings conference call. I'm Rebecca Gardy, Campbell Soup Company's Chief Investor Relations Officer. Joining me today are Mick Beekhuizen, Chief Executive Officer, and Carrie Anderson, Chief Financial Officer. Today's remarks have been prerecorded. Once we conclude the prepared remarks, we will transition to a live webcast Q&A session. The presentation, a transcript of management's prepared remarks, and today's earnings press release have been posted to the Investor Relations section on our website, campbellscompany.com. Following the conclusion of the Q&A session, a replay of the webcast will be available at the same location, followed by a transcript of the call within 24 hours. Slide two outlines today's agenda. Mick will provide insights into our third quarter performance as well as our in-market performance by division. Please recall that effective first quarter fiscal 2025, we are using Serkana, MULO Plus for in-market data. Carrie will then discuss the financial results of the quarter in more detail and review our guidance for the full fiscal year 2025. On our call today, we will make forward-looking statements, which reflect our current expectations. These statements rely on assumptions and estimates, which could be inaccurate and are subject to risk. Please refer to Slide three of our presentation or our SEC filings for a list of factors that could cause our actual results to vary materially from those anticipated in the forward-looking statements. Because we use non-GAAP measures, we have provided a reconciliation of each of these measures to the most directly comparable GAAP measure in the appendix of our presentation. And now, it's my pleasure to turn it over to Chief Executive Officer, Mick Beekhuizen. Mick?
Mick Beekhuizen: Thanks, Rebecca. Good morning, everyone. Our third quarter earnings performance exceeded expectations, driven by solid contributions from our meals and beverages business due to strong in-market performance and a benefit from favorable shipment timing, which we expect to normalize in the fourth quarter. The performance of our snacks business was mixed this quarter, reflecting continued category softness and an increasingly competitive environment. That said, we have an attractive snacking portfolio with a clear right to win, and we have been refining our plans to improve our in-market performance. In the current dynamic macro environment, consumers are making thoughtful spending decisions, which is materializing in our categories. Consumers continue to cook at home and focus their spending on products that help them stretch their food budgets, and they're increasingly intentional about their discretionary snack purchases. These behaviors supported growth in our meals and beverages categories and increased headwinds in our snacking categories. Collectively, our sixteen leadership brands' in-market performance was in line with overall category consumption, with meals and beverages consumption ahead of categories and snacks behind, driven by heightened competitive pressures. Given our performance year to date, we are reaffirming our full year fiscal 2025 guidance ranges. That said, we now expect adjusted earnings to be at the low end of the guidance range due to the slower than anticipated recovery in the snacks business. Consistent with what we said during our last earnings call, and given the fluid operating environment, this guidance excludes any impact from the imposition of import tariffs and potential retaliatory actions taken by other countries, as the trade environment remains uncertain. We have separately estimated the fiscal 2025 tariff impact, which Carrie will talk through in a few moments. We remain focused on near-term in-market execution and mitigating tariff impact while investing in our brands, leveraging our scale for growth, elevating senior leaders to key roles, and advancing critical capabilities for long-term value creation. Now let's turn to key highlights from our third quarter results on Slide six. Organic net sales growth of 1% was driven by volume growth, marking five consecutive quarters of flat or positive volume across the enterprise. Organic net sales growth was ahead of in-market consumption driven by timing of shipments, which we expect to normalize in Q4. The organic net sales growth was led by our meals and beverages division, which more than outweighed the ongoing pressure in our snacks business. It's important to note that the Sobo's acquisition moved into organic net sales in the middle of the third quarter. We delivered 4% net sales growth, reflecting the organic net sales growth and contribution from Rails during the first half of the third quarter. Adjusted EBIT increased 2% versus prior year, which resulted in a slight margin decrease as lower net pricing realization was only partially offset by spending reductions. Adjusted EPS was down 3% with a net positive EPS contribution from the Service acquisition in the quarter. Turning to Slide seven, the in-market contribution of our sixteen leadership brands, representing approximately 90% of total net sales, remained stable in the third quarter, with more than half holding or gaining share. As we mentioned last quarter, we started to see consumer sentiment softening in January. This continued throughout Q3, with consumers making more deliberate choices with their spending on food. A key outcome is a growing preference for home-cooked meals, leading to the highest levels of meals prepared at home since early 2020. Additionally, consumers are favoring ingredients that help stretch tighter food budgets. Both provided a tailwind for our meals and beverages business, especially for our condensed cooking soups, broth, and Italian sauces. As a result, our meals and beverages leadership brands continued to outpace category consumption and grew dollar share by 0.4 points. Six of our eight meals and beverages leadership brands grew or held share in the third quarter. In total, meals and beverages leadership brand consumption increased by 2% in the quarter. Conversely, the consumer environment was a continued headwind in the quarter for some of our more discretionary categories in snacks, such as crackers and chips. However, while value is important, consumers favor better-for-you segments and are willing to selectively splurge when the benefits are clearly worth it, as evidenced by the momentum of some of our recent innovation launches. In snacks, three of our eight leadership brands grew or held share, Pepperidge Farm Bakery and Cookies brands held share, partially driven by our successful innovation. Snack Factory, with a presence in both the deli and snack aisles now, grew share by almost half a point, and our Land sandwich crackers maintained momentum with the second consecutive quarter of share growth. Given the category trends and aggregate share headwinds, our overall snack's leadership brand consumption declined by 3% in the quarter. We remain confident in the strength and long-term growth potential of our snacks brands and the plans we have to stabilize share while navigating the dynamic operating environment. Let's take a closer look at each division, beginning with meals and beverages on Slide eight. Organic net sales increased 6% for the quarter, led by volume and mix growth of 7%. Specifically, organic net sales increased year over year due to 2% and timing of customer shipments in our base business at the end of the quarter as well as RAYOS, in connection with the implementation of our existing SAP Enterprise Resource Planning System for Sobos Brands. Turning to Slide nine, our support portfolio continued its strong performance in Q3, benefiting from the increased at-home cooking trend I mentioned earlier. Campbell's Total Wet Soup grew dollar share by 0.4 points and sold its sixth consecutive quarter of volume share growth driven by household gains, particularly among younger cohorts as they increasingly cook at home. The broth category has grown since 2020, and more recently further accelerated, fueled by the uptick in cooking behavior, making our broth business a continued bright spot within the portfolio. In Q3, we significantly outpaced category consumption and grew dollar share by nearly three points in the quarter. Swanson saw strong consumption and volume growth and has now gained or held millennial households for seven consecutive quarters. Our strong performance in the broad category is further emphasized by Pacific's continued double-digit consumption growth. The pace of the private label recovery has been slower than we originally anticipated, though we expect it to continue to recover. Our supply chain team has done an outstanding job of meeting customer demand in the face of private label supply constraints, as we are confident in our ability to continue to do so. Our ready-to-serve in-market consumption declines were driven by increased competitive promotional intensity and our discontinuation of our Well Yes brands. Our Chunky, Pacific, Rails, and HomeStar brands all gained share in the quarter. Finally, our condensed portfolio continued its strong performance during the quarter, with a sixth consecutive quarter of dollar share growth and increases in both dollar and volume consumption. Our brands outperformed the segment and grew share, partially driven by the successful mac and cheese activation. In the current economic environment, we are constantly looking to provide consumers with exciting new options that let them use our products in more versatile ways to cook meals at home. A great example of that is our mac and cheese marketing activation. In the third quarter, we introduced a new easy and delicious way to make this household classic. This activation helped drive the eleventh consecutive quarter of condensed cooking soup share growth and added approximately one million households to Campbell's condensed cooking portfolio, the highest household penetration gains condensed in any quarter over the past four years. More than half of these new buyers were millennials, displaying the brand's growing popularity with this generation. This is a great example of our purpose at work, connecting people through food they love, and demonstrates the growth we can unlock by continuing to highlight the versatility of our condensed soups in making delicious, affordable, and stretchable meals. Year over year, the Italian sauce category grew roughly two points in Q3, was relatively stable to Q2. Rego trailed dollar consumption for Q3 largely due to a shift in the timing of promotional activity. However, on a Q3 year-to-date basis, Prego consumption was more in line with the Italian sauce category and well ahead on share when excluding the ultra-distinctive segment. Rail's dollar consumption growth in Q3 was in line with the overall category but underperformed our initial expectations. The main drivers of the lower than expected rail SaaS growth in Q3 can be attributed to a couple of points of headwinds from certain prior year promotional events we decided not to repeat this quarter because they were below our premium price quarter, combined with slightly increased consumer spending sensitivity and increased competitive promotional activity. That said, the Rails brand remains strong, and we still have significant opportunities to increase distribution, household penetration, and awareness of Rails when comparing it to Prego. While we have made considerable progress growing the brand since acquiring it last year, there is still significant opportunity ahead. We have a history of category growth and leadership and believe that the distinctive premium nature of Rails sauces will allow us to continue that success. RailSource is reaching a point of maturity on core distribution, so we're investing in other levers to sustain growth, including marketing focused on highlighting the Italian origin of Reya's ingredients, continued innovation, and sharpened sales execution. Now let's turn to our snacks business on Slide thirteen. In the third quarter, the pressure on snacking categories increased sequentially, which combined with heightened competitive activity resulted in year-over-year 3% lower in-market consumption. Organic net sales declined by 5%, driven by lower volume and mix. The bulk of the two-point variance to consumption was driven by partners' contract brands as we continue to reshape our portfolio to focus more on our differentiated leadership brands. Turning to Slide fourteen, you can see how our snacks portfolio performed relative to each respective snacking category and key brand-specific action plans to navigate the current landscape. In bakery and cookies, we outperformed category consumption through sustained momentum in Pepperidge Farm Fresh bakery and cookies, resulting in stable in-market consumption. Coming off a successful winter holiday, we elevated innovation and unlocked growth by giving consumers the indulgences they are looking for. In pretzels, consumption grew in the quarter in the salty aisle, although at lower levels than the broader category. We are meeting consumer needs through two distinct brands: Snyder's of Hanover for pretzel traditionalists and Snack Factory, which reimagines pretzels. On Snyder's of Hanover, we continue to proactively manage our assortment to higher-performing items and invest in expanding convenient portion-controlled packs, but this was not enough to offset the category competitive pressures. With Snack Factory, we are pleased with the results of its expansion, including the successful launch of Pappans and Bites, which have garnered strong repeat purchases. We expect this momentum to fuel consumption for our pretzel's portfolio. In crackers, reduced overall consumer sentiment has put pressure on the category. The outsized consumption decline for our business was partially driven by lapping the significantly supported Goldfish Crisps launch in the prior year, which peaked in Q3. While there were bright spots within Goldfish, especially related to the Harry Potter Butterbeer limited-time offering, we have more work to do to reinvigorate this brand and get it back on its historical growth trajectory. We plan to focus on core relevancy through marketing support, strategic promotional activity, and the critical back-to-school season. Finally, our Chip sports portfolio is well-positioned but continues to face strong competitive pressures. We have seen positive consumer and customer response to our product innovation and have increased household penetration through some of our better-for-you offerings such as Kettle brand avocado oil and air-fried options. Expectations compared to the narrower cattle cook chip segment, it was in line with the broader chip category. We have specific plans to drive incremental volume growth through optimized distribution, promotion, and continued limited edition innovation ahead of the all-important summer chip season. Moving to Slide fifteen, we are pleased to share the latest results in our efforts to reignite Pepperidge Farm, one of our billion-dollar brands. In Q3, our Pepperidge Farm bakery business delivered the highest volume and dollar share growth in nine quarters, driven by the Farmhouse Brioche platform. This platform now includes delicious items in sandwich bread, buns and rolls, and swirled breakfast bread. Growth in our Pepperidge Farm Cookies business is coming from Milano Cookies, which had the strongest household penetration gains in nine quarters in Q3, driven by the Milano white chocolate platform launch. This has helped fuel the core Milano brand, attract a younger demographic, maintain its trajectory coming out of the winter holiday, and resulted in strong dollar and volume growth. Other Milano innovation included the on-trend limited edition caramel cafe au lait and the return of the popular London Park variety. We are excited about the recent results and additional upcoming opportunities to innovate and provide consumers with the touch of premium indulgence that they seek from our bakery and cookies portfolio. Before I turn it over to Carrie, I wanted to thank the entire Campbell Soup Company team for their focus on delivering solid Q3 results in such a dynamic operating environment. Our meals and beverage division had strong in-market performance fueled by growing consumer demand for home cooking. Our snacks results were mixed as consumers are being more intentional with this and the categories are increasingly competitive. We recognize that we need to continue to sharpen our execution to win in the marketplace and drive future growth. As we look to the fourth quarter, we will continue to navigate the current environment and stay focused on near-term in-market execution while we act to mitigate as much of the potential direct impact of tariffs as possible. These dynamics are also pushing us to focus on what matters most to our customers and consumers that will position us for long-term growth. We are building a stronger foundation for the future by improving our efficiency and effectiveness across the organization to facilitate growth. With the creation of the growth office supporting both divisions, we are taking advantage of our scale while we elevate the focus on growth across the organization. The growth office will elevate capabilities within consumer insights, brand activation, innovation, and revenue growth management. Additionally, we have hired a Chief Digital and Technology Officer to accelerate digital tools and capabilities to improve our efficiency and effectiveness. Finally, we remain focused on creating more fuel to invest in our brands. All told, our focus remains firmly on disciplined short-term execution as we lay the groundwork for consistent sustainable growth. Let me turn it over to Carrie to go over the Q3 results in more detail.
Carrie Anderson: Thanks, Mick, and good morning, everyone. As Mick said earlier, our third quarter performance exceeded our expectations. The overperformance in the quarter was primarily attributable to our meals and beverages division, which benefited from the timing of customer inventory orders. Reported net sales increased 4%, driven by the sales contribution from SOVOS brands. Organic net sales, excluding the impact of currency, the PopSugar and Nusa divestitures, and approximately half a quarter of SOVOS, increased 1% as over-delivery in meals and beverages more than offset continued pressures in our snacks business. As a reminder, SOBUS moved into organic growth mid-quarter as we lapped the anniversary date of the acquisition on March 12, 2024. Adjusted EBIT increased 2%, primarily due to the contribution from the acquisition offsetting lower base business performance. Adjusted EBIT margin was down 30 basis points with limited impact from tariffs. Adjusted EPS exceeded our expectations at $0.73, down 3% from the prior year. The impact of the acquisition was accretive to adjusted EPS in the quarter. Turning to Slide nineteen, as mentioned earlier, organic net sales for the third quarter were up 1% due to favorable volume and mix, partially offset by planned lower net price realization. The favorable volume and mix component was attributable to both SOVOS, as well as over-delivery within our base meals and beverages business, which I'll discuss more in a moment. Reported net sales in the quarter of 4% reflected a four-point net contribution from acquisitions and divestitures, which included six points from the Sogos acquisition and negative two points from the PopSciret and Nusa divestitures. On Slide twenty, third quarter adjusted gross profit margin declined 110 basis points, with margin in the base business down 100 basis points and a negative 10 basis point impact related to the acquisition. Base business margins were impacted by approximately 80 basis points of net price investment and 20 basis points of other cost headwinds as inflation and other supply chain costs were largely mitigated by productivity improvements, cost savings, and favorable volume and mix. As mentioned earlier, the direct tariff impact to the business was not material in the quarter. As of the end of the third quarter, we delivered approximately $110 million of total savings under the $250 million cost savings program announced at our Investor Day in September of 2024, of which approximately 30% were realized in cost. Turning to slide twenty-one, the total combined dollar spend on adjusted marketing and selling expenses and admin expenses increased slightly compared to the prior year, primarily reflecting the integration of SOVOS. However, these combined expenses improved as a percentage of net sales compared to the prior year. Within adjusted marketing and selling expenses, advertising and consumer promotion expense increased 3%, primarily reflecting the acquisition of SOBOS. Adjusted administrative expenses decreased 4%, mainly driven by the benefits from cost savings initiatives. These savings include the benefits of the integration of SOVOS, which continues to exceed expectations. As of the beginning of the fourth quarter, we have now transitioned the Sobeys business into our Campbell Soup Company ERP system, which will unlock additional back-office savings in IT, finance, and order management into fiscal 2026. As shown on Slide twenty-two, third quarter adjusted EBIT increased 2%, primarily due to lower adjusted administrative R&D and other expenses, along with higher adjusted gross profit, which were partially offset by an increase in adjusted marketing and selling expenses. On Slide twenty-three, adjusted EPS decreased 3% to $0.73 as adjusted EBIT growth was more than offset by higher levels of debt and higher average interest rates on the overall debt portfolio. As I mentioned earlier, the SOVOS acquisition was accretive to adjusted earnings per share in the quarter. Turning to Slide twenty-four, meals and beverages reported a 15% increase in net sales, including the contribution of the acquisition and net of the divestiture impact of Noosa that was completed earlier this calendar year on February 24. Organic net sales increased 6% compared to the prior year, driven by favorable volume and mix of 7% in U.S. Soup, Rails, and Canada, partially offset by a one-point lower net price realization. Approximately one-third of the organic growth was attributable to growth in condensed, broth, and ready-to-serve soups and Rao sauces, which benefited from the continued shift to at-home meals Mick mentioned earlier. The remaining growth was related to the timing of customer shipments at the end of the quarter in our base business as well as in RAYO's in connection with the integration of SOVOS into Campbell Soup Company's ERP system. We expect inventory orders to normalize in the fourth quarter. Third quarter operating earnings in the division increased 8%, primarily due to the benefit of the SOVOS acquisition. Meals and Beverages operating margin was lower by 100 basis points, which was primarily driven by lower realized net price and in part due to the mix impact of the Sogos acquisition not being included in our base for half the quarter. The remaining cost headwinds, including higher cost inflation and other supply chain costs, were offset by favorable volume and mix, productivity and cost savings, as well as reduced marketing, selling, and administrative expenses as a percent to net sales. Turning to slide twenty-five, Snacks reported an 8% decrease in net sales. Excluding the impact of the Pop Secret divestiture, organic net sales decreased 5%, driven primarily by lower net sales in Goldfish crackers, third-party partner and contract brands, and Snyder's of Hanover pretzels. As a reminder, we lapped the launch of Goldfish Crisps in the prior year. In addition, net sales were also lower in late July snacks due to a promotional shift versus prior year, and Land sandwich crackers as we lapped a pipeline fill in the prior year due to a change in pack sizes. Snacks organic net sales were impacted by unfavorable volume and mix of 5% and neutral net price realization. Snacks operating earnings in the quarter declined 13% due to lower gross profit as the impact of lower volume and mix, inflation, and other supply chain costs were only partially offset by supply chain productivity, benefits from cost savings initiatives, and lower administrative expenses. Q3 operating margin for Snacks decreased 90 basis points to 14.3%, mainly driven by higher selling expenses as a percent of net sales and lower gross profit. Notably, snacks operating margin sequentially improved 300 basis points compared to Q2, driven by an improvement in supply chain cost as expected. Turning to slide twenty-six, we generated $872 million in operating cash flow year to date, slightly lower than the prior year period driven by changes in working capital. Capital expenditures were $296 million year to date and reflect investments in chip and cracker capacity expansion for our snacks business, network optimization for our meals and beverages business, and enhancements to business capabilities. We remain committed to returning cash to our shareholders with $343 million of dividends paid, reflecting a 5% increase in the third quarter and $60 million in anti-dilutive share repurchases year to date. Our net debt to adjusted EBITDA leverage ratio at the end of the third quarter was 3.0, which is a slight improvement from our ratio at the end of the second quarter as we continue to focus on deleveraging the balance sheet towards our goal of three times net leverage. At the end of the third quarter, the company had approximately $143 million in cash and cash equivalents and approximately $1.5 billion available under our undrawn revolving credit facility. Our full year fiscal 2025 guidance provided on March 5, 2025, remains unchanged, excluding the impact of tariffs. Adjusted earnings are expected at the low end of the guidance range due to the slower than anticipated recovery in the Saks business. We have estimated the net incremental headwind of tariff-related costs to be up to $0.03 to $0.05 per share to fiscal 2025 adjusted EPS. This is not factored into our fiscal 2025 guidance as the trade environment remains uncertain. This estimate reflects our assumption that the current tariff actions stay in place and incorporates the proactive steps we're taking to minimize the overall impact, including strategic inventory management, working in close partnership with our suppliers, pursuing alternative sourcing and product cost optimization, and where absolutely necessary, consideration of surgical pricing actions. To finish out the discussion of fiscal 2025 guidance, as a reminder, fiscal 2025 comprises 53 weeks, one additional week compared to fiscal 2024. The benefit of the 53rd week is included in our fiscal 2025 guidance and is estimated to be worth approximately two points of growth to reported net sales and adjusted EBIT, along with approximately $0.05 of adjusted EPS. Although we expect an increase in core inflation in the second half as compared to the prior year and a sequential increase from the first half, we expect core inflation for the full fiscal year to remain in the low single-digit range to be mitigated by productivity improvements and higher expected cost savings. We are increasing our cost savings expectation for the full year from $120 million to $130 million as a result of our continued strong year to date. This includes savings from the integration of SOVOS and several previously network optimization projects across both divisions. Capital expenditures for fiscal 2025 are expected to be approximately 4.5% of net sales compared to our prior guidance of 4.7% due to timing of expenditures. To wrap up, our Q3 performance exceeded our expectation driven by over-delivery by the Meals and Beverages division. And while we are not satisfied with the results of our Saks division, we remain confident in the strength of our Saks portfolio and continue to take steps to regain our momentum. We remain focused on delivering high-quality, high-value food that consumers trust. While advancing our productivity and cost savings initiatives. Our long-standing supply chain excellence and scale position us to effectively navigate a dynamic operating environment. We're committed to driving long-term growth and maintaining capital discipline to deliver value to our shareholders. This concludes our prepared remarks. Operator, let's begin the Q&A.
Operator: Our first question comes from Andrew Lazar from Barclays. Barclays.
Andrew Lazar: Great. Thanks so much. Mick, I wanted to dig in on snacks some more. That's the area where the company is seeing sort of the most pressure. How much of the pressure is overall category versus Campbell Soup Company's in-market execution? I guess what's the company specifically doing to control what it can while also not contributing to any sort of race to the bottom, so to speak, from a category pricing perspective? And I guess I'm trying to get a sense of how we think about the next few quarters in this segment in terms of volume and price.
Mick Beekhuizen: Yeah. Yeah. Okay. Great. Morning, Andrew. Appreciate the question. And, obviously, a core focus for us. If you look at the quarter Q3 and you put it in perspective versus Q2, you see that actually sequentially the aggregate categories deteriorated, which is one driven by the deteriorating consumer confidence that we've obviously all seen. And then on top of it, the consumer continues to become increasingly intentional, and that is really that focus on value-added for you and indulgence. If you look at our in-market consumption, you saw that in Q2, we were down minus 1%. In Q3, we're down minus 3%. About two-thirds of that is driven by the worsening of the aggregate categories, and about one-third of that is driven by our in-market performance. If you look at the in-market performance during the quarter, there are a couple of areas that actually worked well, and I talked about it in my prepared remarks, which comes back to Pepperidge Farm Bakery and Cookies as well as pretzels, where you saw some innovation really driving our brands and supporting overall consumption. I expect us to continue to focus on innovation, which is important as the consumer, as I described earlier, is really intentional about the dollars that they're spending. And we are really focused with our innovation on meeting those consumer needs. Then on the flip side, if you look at Q3, on the one end, we got the chips categories, and within chips, we are actually our brands are within the right subsegments of the broader chips category. So I feel good from that perspective. That being said, there's some increased competition, and the team is working through making sure that we're successful in this environment with, on the one hand, focus on in-market execution with distribution expansion where possible, but also back to some of the innovation and also bringing the excitement to the category with some LTOs. And finally, I'd call out instead of focusing just purely on promotional activity, really bringing much more back to price pack architecture and making sure that we have the right price points in the marketplace. And if anything, actually, one of the things that we've seen, multipacks within chips, has worked well. Now then finally, crackers and specifically Goldfish, we got some work to do on Goldfish, and I talked a little bit about that in my prepared remarks, but if you look at the headwind that we had on Goldfish, about half of it is driven by the category and the Goldfish Crisps launch from last year. And then the other half is really back to core declines. So when you think about our focus areas, we're focused on reigniting that core with advertising activations, LTOs, but on top of it, back to my earlier comment, around the focus of the consumer on value, we need to make sure to provide value in the marketplace. And that is not so much coming back to incremental promotions, but it's much more coming back to, on the one end, making sure that we allocate the promotional activity to where we're actually getting the best ROI. And on top of it, also making sure that we have that right price point in the marketplace. And you might recall, we talked before about that two and a half ounce grab bag or Goldfish, and I expect that there's a good entry price point, and I expect us to continue to expand distribution and also displays within that, and then there might be an opportunity to a multipack as well. So hopefully, Andrew, that gives you a little bit of a sense of the dynamics more broadly within our portfolio and what we're planning on doing about it.
Andrew Lazar: Thanks for that. A brief follow-up. Just I know it's too early to guide for fiscal 2026. It's still an incredibly dynamic environment. But what are the key inputs for us to consider just as we think to next year? Particularly as it seems there's a need for some continued reinvestment in the snack space, you know, some other food companies have been increasingly talking about the need for greater in-market pressure to sort of nudge the consumer a bit. Thanks so much.
Mick Beekhuizen: Yeah. Yeah. Okay. Obviously, we're not yet ready to give fiscal 2026 guidance, but when I look at where we're at with regard to the snacks business, as you might recall from last time around, we actually expect that a recovery of the snacking business throughout this year and actually ending the year relatively flat. And then going with that into fiscal 2026. Obviously, where the current trend is and looking into Q4, we still have ways to go on that. And as a result, I expect that recovery to take place now in fiscal 2026. I do think that's coming back to the different tactics that I previously described, probably combined with making sure that we continue to invest in our brands. And one of the things that you see right now is that we are spending from a marketing selling perspective at the lower end of our 9% to 10% range. I do expect that going into next year, we might need to lean into that a little bit more as we need to make sure that we support our brands in the marketplace. The other thing is, Andrew, maybe kind of from a broader incentive comp perspective, our incentive comp is not surprising in light of the overall results that you're seeing. I expect that that will be a little bit of a headwind going into next year.
Andrew Lazar: Got it. Thanks very much.
Operator: Our next question comes from Ken Goldman from JPMorgan. Please go ahead. Your line is open.
Ken Goldman: Hi. Thanks. Good morning. In meals and beverages, you did highlight a few times the uptick in at-home cooking and eating trends, which of course is great to see. I'm just curious, I guess, to what extent you have optimism in this positive trend to continue. You know, how much of it do you think is driven by sort of just lower consumer confidence, or are there other factors you'd highlight? I'm really just trying to get a sense of the sustainability of that tailwind as you see it.
Mick Beekhuizen: Yep. Yep. Okay. Yep. Thanks, Ken. If I look at the meals and beverages business, meals and beverages are obviously a bright spot within our portfolio, and you see that in the results. We now have six quarters of positive in-market consumption growth within meals and beverages. If you look at the results this time around, they were exacerbated a little bit by the timing of shipments. And we do expect those to reverse in Q4. It will likely be about three points headwinds in MMB for the fourth quarter. Now that being said, from an in-market consumption perspective, we feel pretty good about where we're at. And particularly, if you look at what the team's been able to do over the past, call it, six quarters. When you start looking at the overall portfolio, the portfolio is well-positioned with providing that value, quality, and convenience in an environment where the consumers continue to look more at cooking at home. And you also see the power of our portfolio, why it works, with us being, for instance, both having mainstream as well as premium offerings. A good example, obviously, we often talk about Prego and Rails, but if you look at products in broth, we also have Swanson and Pacific. And particularly during the time where there's disproportionate demand for broth and a little bit of supply pressure, you see actually both brands doing really well in this marketplace. Now it isn't only coming back to those. You also saw some of the condensed activation that we had in the marketplace this time around with mac and cheese, which is really driving to cooking with condensed as an everyday behavior versus just during the holidays. And I think the activation this past quarter was a great proof point of that. I'm obviously a continued big believer in the RAYOS brand. I'm sure we'll talk a little bit more about that. And then other areas within the portfolio that we don't talk as much about, for instance, V8. And if you look at V8 over the past nine quarters, the team has done a great job of actually stabilizing that business, and in certain areas, like, for instance, V8 energy, we've actually seen double-digit growth. So overall, I feel very good about meals and beverages and the meals and beverages portfolio in light of some of the trends that we're seeing with regard to the consumer and the continued focus on cooking at home, in combination with our portfolio and the breadth of our portfolio. Now that being said, I don't expect us per se to repeat the Q3 results as we are coming out of the soup season, obviously. But all set, I feel good about where we're at, and I still believe that there's a lot of opportunity going forward within the portfolio.
Ken Goldman: Thank you. Very quickly, understanding it's too soon for specifics. You mentioned a couple of factors influencing the bottom line next year. One of them was higher marketing below the gross margin line. In light of some of the competitive activities you mentioned today, whether it's RTS, premium pasta sauce, or snacks, is it also reasonable at this point to anticipate an uptick in your promotional activities as well? Not that these activities, so to speak, won't have an ROI that's beneficial. But just on a gross level, I want to get a better sense or idea of investments ahead. Thank you.
Mick Beekhuizen: Yeah. Yep. Good question. And it's something that we're obviously very focused on. If anything, I actually, whereas if I looked at about twelve months ago, we were very much continuing to increase the overall promotional activity, and it was not just us. You saw it more broadly in the categories. And I'm starting to see that that is stabilizing, and it's much more about not so much about adding promotional activity, and it's much more to my earlier point, making sure that the promotional activity that's in the marketplace is in the marketplace when it really matters. Like, for instance, during key drive periods. On top of it, and what do I mean by key drive periods? For instance, during the Easter time period. Important for you know, to broad, and that is, you know, a good moment where the brands really matter. You want to make sure that you're out there with the proper price points. I do think the other piece, particularly when I think about snacking, and on a day-to-day basis, is making sure that we have the right starting price point in the marketplace. And that comes back to that price pack architecture, and when you heard me talk a little bit about Goldfish, for instance, smaller pack size, but also across broader salty some of these multipack initiatives, and that's actually really working. So again, I am not looking at much as increased promotional activity from a dollar's perspective. It's much more making sure that we allocate the promotional dollars properly. And on top of it, we continue to evolve around PPA.
Operator: Our next question comes from Peter Galbo from Bank of America. Please go ahead. Your line is open.
Peter Galbo: Hey, Mick, Carrie. Good morning. Thanks for the question. I maybe want to ask a slight variation on the snacks question, and understanding we've kind of already addressed a bit of it. But I mean, your results in the quarter were more or less in line with how the category has been performing. And I think the broader question is probably just that, you know, the category continues to be such a drag, and you know, as we get into what should be a pretty peak demand season over the summer and even just over the next twelve months, I think it would be maybe more helpful to just understand what you think needs to happen from a category perspective in snacks to actually be able to see some improvement. So we have all this discussion about, you know, race to the bottom on pricing or lack thereof. Just, you know, you're using comments in your prepared remarks like, you know, are consumers deeming that it's worth it to actually indulge in snacking? So just like, maybe help us from a much higher level understand what needs to happen from a category perspective for that demand profile and consumers to actually deem the category to be worth it over the next twelve months.
Mick Beekhuizen: Yeah. Oh, okay. Let me try to frame it up as follows. So first, Peter, when I look at the overall category dynamics and you look at it sequential quality deterioration that I described earlier, I think one of the key components of that is the deteriorating consumer confidence. And you see that disproportionately play out in categories like snacks because of the discretionary nature. So that is one thing that if there's one area that I could point to that, that's one area that I think would actually be helpful is improving overall consumer confidence. Then I think the other aspect of it is back to your specific question around some of the quote-unquote worth it. Worth it not being as much of the dollars, but much more about, like, the experience. And I think that comes really back to that continued focus on intentionality that we have seen within the snacking categories with a broader focus on, on the one hand, value, better for you, and then indulgence or flavors or experience, if you want to call it, and the last three all within that call it one bucket. And what do I think is important within that is making sure that we continue to meet the consumers' needs. And you see, for instance, with a good example of that is in the innovation of Pepperidge Farm cookies with the launch of the Milano white chocolate and the resulting lift that we have had, of course, on the one hand, around that particular innovation, but also then the broader Milano brand. So I just think it's coming back to making sure that we continue to evolve our brands and meet those consumer needs. And if anything, actually, the broader, you know, CPG industry has actually done a real good job over time to continue to meet those consumer needs. And that's what we continue to focus on and work through as well.
Peter Galbo: Okay. Thanks for that, Mick. No. That's helpful context. And, Carrie, if I can ask a clarification comment, the three to five cents of tariff-related impact that you outlined, that's not included in the guidance but presumably hits the Q4 numbers. Should we be viewing that as a full quarter impact? Presumably, you would have carried some inventory maybe into the quarter. So I just want to understand if that three to five cents is truly a three-month impact that if things don't change, we could kind of run rate forward or if there's some nuance around inventory. Thanks very much.
Carrie Anderson: Thanks, Peter. I would say when I think about the three to five cents, tariffs are being phased in, right? So I would say three main areas of impact that's in that three to five cents. First, currently, we're seeing an impact from the Canada wave one retaliatory tariffs. Those went into effect at the beginning of March. And they remain in place. And they relate to our Canadian exports of a portion of our soup business that we ship to Canada. You have other tariffs that are starting to phase in in Q4, if your section 232 tariffs that impact tin plate and aluminum, where, obviously, we source for our soup and our beverage cans. And then you also have the phase-in of reciprocal trade actions, which does include the impact on our RAYOS portfolio, which is made in Italy, both finished goods as well as raw materials coming from Italy. So to your point, we are that's a net impact, net of mitigation. And as I mentioned in my prepared remarks, we're working to minimize that overall impact, including strategic inventory management as you referenced earlier. And then working closely with our suppliers here. I wouldn't be right now, taking that three to five cents and annualizing it. I wouldn't go there at this point. I think it's a bit too early to say what the fiscal 2026 impact may be, mainly because of the rapidly evolving trade landscape. I would say also, you know, as we mentioned, those tariff impacts are being phased in, and we've had more limited ability to minimize that gross impact. So the range provided doesn't reflect all of the levers that we are working towards, which some take more time to affect. So we just be cautious to annualize that Q4 impact at this time. And, obviously, working to minimize the overall impact as much as we can, that will inform us ultimately for our fiscal 2026 view.
Peter Galbo: Great. Thank you.
Operator: Our next question comes from Megan Clap from Morgan Stanley. Please go ahead. Your line is open.
Megan Clap: Hey, good morning. Thanks so much for taking our question. I wanted to just ask on RAYOS, and apologies if I missed it, but I don't think I saw you reiterate the expectation for RAYO's growth to be slightly above 10% this year. So could you just maybe give us an update on how you're thinking about RAYO's growth for this year?
Mick Beekhuizen: Yeah. Morning, Megan. So let me talk about RAYOS. So one and some of it is also in the prepared remarks. I continue to be very bullish around RAYOS, and I'm very excited to have RAYOS in the portfolio, which is playing also right into or supporting the overall meals and beverage divisional growth, particularly in light of some of the consumer trends we just talked about. Now if you look at the and maybe I'll step back for a second. It is or let me first answer your question. It's like, we expect still, you know, I probably with where I sit right now, expect high single digits for fiscal 2025. If I look at the year to date, in-market consumption is about 10%. Two percent this past quarter. That was obviously in line with the overall category, but below our expectations. And as I mentioned in the prepared remarks, we have a pretty good handle on the individual drivers. And the team is all over in-market execution. And as a result, I have a lot of confidence in the continued trajectory or growth trajectory of the brand. Now if you look at the L4, so the last four weeks, in-market consumption, you actually see some of that already come to provision. It's obviously always tricky to look just at, like, L4 periods, but you actually do see that sauce is up 9%, and the overall brand is up about 11%. So feel good where we are with RAYOS. And you might have a little bit of timing here and there, but the team is continuing to expand the brand, and we're glad to have RAYOS in our portfolio.
Megan Clap: Okay. Great. That's helpful. Thanks. And, Carrie, maybe a follow-up for you just on the margin profile in the fourth quarter and the expectations there. Clearly, you're expecting EBIT and EPS now at the low end on a slower snacks recovery. Previously, you talked about snacks margins recovering sequentially in Q3 and Q4. That did occur nicely. Are there some incremental actions that you're taking that might mean that's not the case anymore?
Carrie Anderson: Yeah. I think we were pleased with our Q3 sequential improvement, knowing that we had some discrete items that impacted us in Q2. Saw that rebound nicely in that 300 basis point sequential improvement into Q3. I would say as we look at first half versus second half, still expecting that sequential improvement from first half to second half. However, given the slower than anticipated recovery of our snacks business, that obviously took us to that lower end of our earnings guidance. We're now expecting snacks margins to be at 13% for the full year. And what we're still focused on is all of those snacks margin building blocks, including our broader network initiatives that we've been working on, including DSD warehouse and route optimization, as well as those mix improvements in our as we grow our leadership brands. So I think it's but it's also important that we remain competitive in the marketplace and to continue to support our brands for the long-term value. So we're really trying to make sure we balance both.
Megan Clap: Okay. Great. Thank you.
Operator: Our last question comes from Jim Solera from Stephens. Please go ahead. Your line is open.
Jim Solera: Hey, guys. Thanks for taking our question. I wanted to dig in, Mick, on this conversation around, you know, the splurge-worthy portion of your portfolio and really trying to categorize how much of meals and beverage and how much of snacks that you kind of put under that broader better-for-you umbrella? And is that, you know, on a go-forward basis, is that really going to be kind of the driver for growth? And do we need to see the innovation focused around there and maybe a revamp of some of the overall snack brands to target that consumer? Or is it really just get consumer confidence back, and that's kind of the first leg forward?
Operator: Ladies and gentlemen, this is the operator. We're experiencing technical difficulties. Please stay on the line one moment. The call will resume shortly. We've reconnected the host line.
Mick Beekhuizen: Great. Can you hear us?
Operator: Yes. Loud and clear.
Jim Solera: Okay. I'll leave you my question, and then we can reask it.
Mick Beekhuizen: Sorry about that, Jim. We lost power for a second here.
Jim Solera: Well, no problem. Basically, the core of the question was what percentage of your portfolio do you kind of view as being under this, you know, better-for-you, splurge-worthy umbrella? And if we think about, you know, what drives the recovery on a go-forward basis, is it really, you know, pivoting the portfolio to have a broader focus there? Having innovation focus there? Is it, you know, we need consumer confidence to rebound, and then the innovation and the better-for-you expand is kind of secondary to that?
Mick Beekhuizen: Yeah. Yep. So when I look at where we're at right now and with if you look at the sequential performance that I described and also the sequential performance of the categories, I mentioned, the deterioration of consumer confidence definitely did have an impact, right, on the particularly with the discretionary nature of the categories. So an improvement in overall consumer confidence would support the categories as a whole. That being said, we obviously got to make sure that we stay focused on the pieces that we can control, and we should, and we are going to continue to evolve with the environment. Hence, you hear me also talk a little bit more about some of these PPA initiatives and the strategic promotional activity. Now that being said, I think for the long-term health of the brands and the broader, particularly snacking portfolio, I think that innovation around intelligence and experiences is important, and you've seen that with, for instance, the Milano example that I gave previously. I don't think it's as much of a complete reset of the portfolio. I don't want you to take that away. I think we have a lot of things that are actually working well, and if you look, for instance, at our pretzel's portfolio, I feel very good about, on the one hand, having Snyder of Hanover, which is much more focused on the pretzel traditionalist, and then the Snack Factory portfolio, which is really in and around that reimagining of pretzels, and they work really nicely together as you saw this past quarter as well. Then on chips, we're actually already in the better-for-you broader segment that is actually growing, whether it's just through Kettle or Cape or even late July. So feel good about that. And then on the cracker side, I think we have a unique proposition more broadly with Goldfish, and I'm very confident that the team with all the things that are working through it is going to change the trajectory over time. So that is probably hopefully giving you a little bit of a sense. It is much more surgical than it is a complete repositioning. And then finally, if I look at the meals and beverage portfolio, I actually think there have a very good collection of brands with premium mainstream, as we talked about in the past, as well as the way that they are positioned that I think they're meeting consumer needs really well, and we see that in the results this past quarter.
Jim Solera: Great. And if I could just sneak in one quick one for Carrie. Carrie, you've mentioned, you know, some of the impact on Rails from the import tariffs. Are you guys able to shift more production to Alma, or do you guys have any sense of what the capacity is there, and, you know, if that has a meaningful impact on the unit economics if you can, you know, just have more stuff produced in Alma and just import, I would assume, the raw materials versus the finished product?
Carrie Anderson: Yeah. I mean, I would say just generally, I think, answer it with all of the steps. We're going to look at all of the levers that we have to mitigate tariffs. So whether it's strategic inventory management, which we're obviously leaning on that hard this quarter here, working in close partnership with our suppliers. And that would include our partnership with La Regina, looking at all of what they can bring to help us look at the overall minimizing the overall impact. And then also looking at product cost optimization. So I think all of those levers will come into play as we manage that relationship and manage the overall impact for the RAYOS brand.
Operator: We are out of time for questions today. This will conclude today's conference call. Thank you for your participation. You may now disconnect.